Operator: Good day, and welcome to the Michael Kors' Second Quarter 2016 Earnings Conference Call. Today's call is being recorded. I would like to turn the call over to Krystyna Lack. Please go ahead.
Krystyna Lack - Co-Treasurer, VP & Head-Investor Relations: Good morning, and thank you for joining us for our second quarter earnings call. Presenting on today's call are John Idol, Chairman and Chief Executive Officer; and Joe Parsons, Chief Financial and Chief Operating Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those than we expect. Those risks and uncertainties are described in today's press release and in the company's SEC filings which are available on the company's website. Investors should not assume that the statements made during the call will remain operative at a later time and the company undertakes no obligation to update any information discussed on the call. I will now turn the call over to Michael Kors' Chairman and Chief Executive Officer, Mr. John Idol.
John D. Idol - Chairman and Chief Executive Officer: Thank you, Krystyna. Good morning, and welcome to Michael Kors' second quarter fiscal 2016 earnings call. I'll begin with a review of the quarter, and then provide an update on some of our growth initiatives. I'm pleased to report that our financial results for the second quarter exceeded expectations as we continued to expand the Michael Kors luxury brand worldwide. Total revenue increased 7% on a reported basis, and on a constant currency basis, total revenue increased 12%, driven by increases in both our retail and wholesale segments across geographies. We saw revenue growth of approximately 6% in the Americas, 21% in Europe, and 61% in Japan, on a constant currency basis. Our EPS of $1.01, which included a $0.06 impact from foreign currency, was also better than anticipated for the quarter. Our retail sales grew 8%, and in constant currency, our retail business grew 15%, driven by new store openings, strength in our North American digital flagships, and continued momentum in Europe and Japan. Global comparable store sales decreased 8.5%, or 3.4% on a constant currency basis, in line with expectations, and reflecting sequential improvement as compared to the first quarter. North American digital sales more than doubled compared to last year, as consumers continued to shift purchases to online and mobile channels. On a constant currency basis, we delivered a high single digit comp increase in Europe and strong double-digit growth in Japan. In our North American retail stores, comps declined in high single digits as we continue to see the impact from lower mall traffic and a shift to the online channel. If we included our U.S. digital flagship sales in our comp base, our North American comparable store sales would have declined in the mid-single digit range. Wholesale sales grew 8% in the second quarter. And in constant currency, wholesale sales increased 12%, led by continued strength in our accessories category. In addition, our wholesale business expanded across geographies with mid-single digit growth in both the Americas and Europe in constant currency, as well as further growth in the Asia market. Licensing revenue in the quarter declined due to lower sales of watches as we saw continued softness in this category. Revenue increased in a number of other areas of our licensing business in the second quarter, including fragrance, jewelry and eyewear categories. Turning to our product categories. The accessories business in North America grew at a mid-single digit rate with a double-digit increase in units sold, demonstrating continued growth of this category and the demand for the Michael Kors luxury brand. However, dollar growth was impacted by lower AUR due to increased demand for smaller size handbags, cross bodies and small other goods which carry lower price points. We saw accelerated growth in footwear, although the warm weather tempered boot sales in the quarter. The watch business continues to remain under pressure in retail and wholesale. But we are excited by the introduction of several new watch styles, including a broader assortment of watches with leather bands and watches with new platings in navy and sable, which we believe is creating renewed desire for the category. Now turning to some highlights of our strategic initiatives. We remain focused on growing our business globally through both retail and wholesale expansion as well as our licensing partnerships. On the retail side, we are driving growth through the continued development of our digital flagships worldwide as well as the expansion of our store footprint in the Americas, Europe and Asia. As I mentioned earlier, our North America digital business is growing rapidly. Desktop and mobile traffic has increased at a double-digit rate and conversion rates are strong, proving that our customers love the convenience of shopping and connecting with Michael Kors online and on the go. We are seeing accessories and footwear emerge as dominant e-commerce categories, demonstrating the brand strength of these core luxury product lines. We believe the transition to online and mobile purchasing will continue worldwide, and we are poised to capitalize on this shift with the development of our digital platform to provide a global, multi-language, multi-currency e-commerce experience for our customers. The roll out of our digital flagships across Europe is expected to begin in fall of 2016, followed by Asia thereafter. In men's, we are encouraged by the early growth rates and acceptance of our product as we begin to build a world class men's brand. Our men's collection was initially introduced into the retail channel with the opening of our Soho flagship store nearly a year ago, providing the first dedicated jet-set luxury experience for the Michael Kors man. We are pleased to announce the upcoming opening of three additional men's locations, in Scottsdale's Fashion Square in Arizona, Garden State Plaza in Paramus, New Jersey; and San Francisco Center in California. In Europe, we've begun to sell our men's product in our recently opened Stockholm flagship and Amsterdam flagship locations, and we're pleased with the favorable response. And looking forward, we have already identified several additional prime locations in Roosevelt Field, New York; Memorial City in Houston, Texas; World Trade Center in New York City; as well as London, Tokyo, Singapore and Taiwan. We remain excited about the long-term opportunity for this business with the potential for up to 500 freestanding stores or combined format locations worldwide. Lastly, we are set to unlock the opportunity for Michael Kors in Korea as we transition this business in-house by the end of the year. We are well on our way to building the right infrastructure and developing an expansion strategy to position this business for long-term growth. In wholesale, we, like many others, have seen the department store channel slowing, and we will be monitoring this business carefully and managing our inventory to protect our brand and margins. However, our brand strength and compelling luxury products offerings have enabled us to maintain our leadership position in this space. We expect continued growth in accessories business globally as well as in our women's wear, footwear and men's categories, as we further develop these businesses and extend our lifestyle presence. We also continue to benefit from the conversion of existing department store doors into shop-in-shops locations across product categories, capturing incremental sales as customers respond favorably to Michael Kors branded environments. We are on track to convert 600 shop-in-shops this year across all categories and are particularly excited to have opened a new flagship men's shop within Macy's Herald Square, presenting our broadest products assortment in one of the most historic, well recognized department store locations in the world. In our licensing business, we're excited about the recent launch of our new Gold Fragrance collection, featuring a scent for every women, ranging from feminine and seductive to sparkling and sensuous. Our men's fragrance offerings as well as the expansion of key EMEA markets are contributing to the growth we've seen this year in this category. In eyewear, we are pleased with our partnership with Luxottica and the customer's response we are seeing to our new eyewear collections, particularly with our iconic aviator styles. Both of these categories offer consumers a number of great gifting items for this holiday season. We also see opportunity for long-term growth in fragrance and eyewear through both expanded distribution and increased penetration. Another category that we are excited about is our new connected fashion accessories line which we'll launch in fall 2016. There's a great opportunity to build a significant position in this growing category and become a fashion leader in the emerging tech space. In addition, given the strong acceptance we have seen across international markets, we remain focused on expanding the Michael Kors luxury brand through our licensing partners. The Asia region continues to represent a significant growth opportunity for our company. We continue to see strong results in the greater China business, with double-digit comp store growth in the second quarter. Consumer response to our luxury product offering has been favorable and we are excited to see our footwear business start to gain traction in this marketplace. We attribute the growth, in part, to our increasing brand awareness in the region, which we now believe is at approximately 50% in large cities. Our strategic marketing efforts in the region are one of the key drivers of brand awareness. We're excited to be hosting a star-studded event in November with Vogue called Young China to celebrate the opening of our largest flagship location in Huamao, Beijing, totaling 9,000 square feet. This media event will be attended by Michael himself as well as key influencers from China's movie industry and will spotlight our luxury fashion and amplify the glamour of Michael Kors jet set luxury lifestyle. The development and success of our China business is increasing demand from the Michael Kors brand throughout Asia and Europe, as Chinese consumers travel the globe and 50% to 60% of their purchases are outside of mainland China. As we look to the second half of the year, we believe we are well-positioned for the upcoming holiday season. Michael and our design teams continued to create on-trend fashion products that embody the Michael Kors luxury brand. Our recent merchandise assortments truly reflect Michael's leadership in driving the latest fashion trends. Our rich suede saddlebags, mini bucket bags, and quilted bags, emerged as top selling items this past quarter. Merlot was a hit in all departments. Watches with leather bands and new metal platings in navy and sable were met with great response, and our active footwear and backpacks capitalized on the sport luxe trend. The positive response we are seeing from our customers gives us confidence that our new product introductions are taking hold. To celebrate the season with effortless glamour and style, our holiday gifting collections will continue to emphasize our on-trend fashion products. To highlight our new holiday merchandise, we are excited to be launching the Michael Kors JustBecause marketing campaign, to connect our customers with that special gift that's just right. As we look ahead to spring 2016, we will continue to offer compelling on-trend fashion with the introduction of our largest assortment of new handbag groups as well as new watch offerings, reflecting the most expansive presentation of innovative materials we've used to-date. In addition, our strong marketing program enables us to further engage customers with the brand, immerse them in the luxury lifestyle and encourage them to shop our sites and stores. As we mentioned last quarter, we are excited about our new national advertising campaigns that transport our customers to global cities which represents the jet-set world of Michael Kors. Our integrated positioning through our content rich website, compelling social media, global advertising, brand marketing, and media events, and traditional print and outdoor advertising are designed to speak to our customers globally in an authentic voice, always emphasizing our luxury DNA, ultimately marrying brand equity and awareness and translating that into conversion. In summary, we are pleased with the success we achieved in the second quarter with revenue growth of 7% on a reported basis and 12% on a constant currency basis. Our digital flagship business in North America more than doubled. We drove sequential improvement in comp store sales. We continued to increase brand awareness in international markets. And we are seeing the acceptance of our newest handbag groups and watch styles. And we are capitalizing on our leadership position in a luxury market. While we expect the macro headwinds to continue in the near-term, the Michael Kors brand remains incredibly strong and we are focused on continuing to execute our strategic initiatives to drive long-term growth. Now let me turn it over to Joe for a detailed review of our second quarter financial results and an update on our outlook.
Joseph B. Parsons - Executive Vice President, Chief Financial Officer, Chief Operating Officer and Treasurer: Thank you, John, and good morning, everyone. Our financial results exceeded our guidance for the second quarter of fiscal 2016. Total revenue grew 6.9% to $1.1 billion. As expected, foreign currency headwinds continue to impact our results this quarter. On a constant currency basis, total revenue grew 12.3%. By region, in constant currency, revenue in the Americas increased 5.6%, Europe revenue increased 20.6%, and Japan revenue increased 60.7%. In our Retail segment, net sales increased 7.5% to $532.8 million. In constant currencies, net sales increased 14.7%, driven by the opening of 116 net new stores since the second quarter of last year, and an increase in our North American digital flagship sales. Notably, we saw exceptional performance from our digital flagships which generated a sales increase of 136% as compared to the sales of our previous outsource site. Comp store sales declined 8.5% on a reported basis. On a constant currency basis, comp store sales declined 3.4%, reflecting a sequential improvement in the first quarter. The decline is attributable to lower comp store sales in North America, partially offset by an increase in comp sales in both Europe and Japan. If we included our U.S. digital flagship sales in our comp base, our global comp store sales would have decreased in the low single digit range on a constant currency basis. We added 39 new stores in the second quarter, 23 in the Americas, which included 18 previously opened stores from our Panama joint venture which was consolidated for the first time this quarter; 12 in Europe; and 4 in Japan. In addition, we expanded or relocated 13 stores. We ended the quarter with 589 company-owned stores, including concessions, and 804 stores overall, including our license locations. Wholesale net sales grew 7.8% to $554.0 million for the second quarter. On a constant currency basis, wholesale sales increased 11.8%, driven by our accessories category and growth across our regions. During the second quarter, we converted 223 wholesale doors into shop-in-shops globally. In our licensing segment, revenue decreased 8.1% to $43.2 million for the quarter, due to lower licensing revenue related to sales of watches, somewhat offset by a revenue increase related to sales of outerwear, jewelry, and eyewear. We continue to open new watch and jewelry shop-in-shops during the quarter, and ended the quarter with 310 shop-in-shops globally. Gross profit grew 3.0% to $664.4 million. Gross margin declined 220 basis points to 58.8%, which includes an 89 basis point foreign currency impact. The decline in gross margin reflects a 280 basis point decline in retail gross margins due to additional promotional activity in our North American retail business, a 130 basis point decline in wholesale gross margin due to additional wholesale allowances partially offset by a geographic mix and lower licensing gross margin dollars. Total operating expenses grew 15.3% to $391.3 million. This increase was attributable to our global investments, including our retail expansion, our digital flagship initiatives, infrastructure investment for Korea in the men's business, the build out of our European distribution center and the continued investment in corporate systems and infrastructure. As a percent of total revenue, total operating expenses increased 250 basis points to 34.6%. This was below the 440 to 490 basis points of deleverage in our guidance, as sales exceeded our expectations and depreciation expense and SG&A were somewhat lower than anticipated. Selling, general and administrative expenses increased 13.0% to $345.2 million. The increase in SG&A expenses was largely due to the higher retail occupancy and salary costs related to new store openings, and increase in corporate employee related expenses primarily due to an increase in our corporate staff to support our global growth as well as other corporate occupancy and operations related costs. As a percent of total revenue, SG&A expenses were 30.5% compared to 28.9% for the second quarter last year. Depreciation and amortization expense increased 35.5% to $46.2 million for the second quarter, primarily due to new retail stores, new shop-in-shops, an increase in lease rights related to our European stores and investments in our corporate facilities and IT infrastructure. As a result of these factors, income from operations was $273.1 million, or 24.2% of total revenue, as compared to 28.9% of total revenue in the same period last year. Retail operating margin declined 690 basis points due to a 410-basis-point increase in operating expenses attributable to higher store-related costs, corporate allocated expense, as well as higher depreciation and amortization expense, primarily attributable to new store openings, as well as the decline in retail gross margin as discussed earlier. Retail operating margin was also impacted by the growth of digital sales as the e-commerce business carries a lower operating margin rate than retail stores. As the e-commerce business reaches scale, we do expect e-commerce margins to be more in line with that of a brick and mortar business. Wholesale operating margin declined 220 basis points due to the decline in the wholesale gross margin as discussed earlier and an 80-basis-point increase in operating expense attributable to higher depreciation expense. Licensing operating margin decreased 820 basis points, primarily due to higher advertising costs, corporate allocated expenses, and selling expenses relative to lower revenues. Income taxes were $78.4 million in the quarter, and our effective tax rate was 28.9% as compared to 31.9% in the same period last year. The decrease in our effective tax rate was primarily due to the increase of taxable income in certain non-U.S. subsidiaries, which are subject to lower statutory tax rates as well as state tax benefits. Net income was $193.1 million for the second quarter and diluted earnings per share were $1.01 based upon 191.5 million weighted average diluted shares outstanding. The unfavorable currency impact to EPS was $0.06 per share. As we noted last quarter, we obtained a 75% controlling interest in our Latin-American joint venture and are now consolidating MK Panama into our operations beginning this quarter. You can find the details of the acquisition described in Note 3 of our 10-Q which is scheduled to be filed tomorrow. For the second quarter, the impact of the consolidation to our sales and earnings results was not material. Going forward, we do not expect MK Panama's operating results to have a meaningful impact on our consolidated financials. We are continuing to evaluate the acquired assets, and there may be future adjustments taken against this business, which have not been included in our guidance. Turning to the balance sheet, at the end of the quarter, cash and cash equivalents were $431.5 million, as compared to $1.0 billion last year. During the quarter, we repurchased approximately 9.4 million shares, totaling $400 million, under our share repurchase authorization. To date, our buybacks totaled approximately 23.2 million shares and $1.2 billion. We remain confident in our long-term growth outlook and free cash flow generation and are pleased to announce that the board of directors has authorized the repurchase of an additional $500 million of the company's ordinary shares. This increases our initial repurchase authorization to $2 billion, of which $758 million is available to us for future repurchases through March 2018. Ex-MK Panama, there were no outstanding borrowings under our credit facility in either year. I am pleased to report that we have entered into an amended and restated credit facility on October 29, 2015, increasing the size to $1 billion and extending the maturity to October 2020. We believe this facility provides us with more flexibility to pursue our long-term operational and financial growth objectives and may be used for general corporate purchases, share repurchases and acquisition of licenses or fashion brands. The inventory increased 15.2% compared to last year. Approximately $14 million of the increase related to our European inventory, which was valued 19% higher than the prior year due to the year-over-year currency exchange rate differential. Approximately $10 million was due to acceleration of holiday merchandise, resulting in higher in-transit inventory and approximately $14 million was related to the consolidation of MK Panama. The remainder is attributable to normal growth of our business as we continue to open stores, open shop-in-shops, expand e-commerce and our online channel capabilities and the increased replenishment programs. As we look forward, we anticipate that the exchange rate differential in the MK Panama consolidation will continue into the third quarter and that our inventory will increase at a rate higher than the sales increase. Capital expenditures for the quarter were $87.5 million and were related to the build-out of our new retail stores and shop-in-shops as well as investments in our information technology, distribution system enhancements, our corporate offices and other infrastructure improvements. Turning to our outlook, for the third quarter we expect total revenues to be between $1.33 billion and $1.35 billion. On a constant currency basis, total revenue is expected to increase in the mid-single digit range, assuming a $42 million impact from the change in foreign currency rates. We expect a mid-single-digit comp store decrease on a reported basis, and a low-single digit decrease in constant currency. Operating expense, as a percentage of total revenue, is expected to increase 200 basis points to 240 basis points in the third quarter due to our global investments. We expect diluted earnings per share to be in the range of $1.44 to $1.48, assuming a tax rate of approximately 28.5% and 187.0 million shares outstanding. We expect foreign currency to impact net income by approximately $11 million and EPS by approximately $0.06 for the third quarter. For the full fiscal year, we now expect revenue of $4.6 billion to $4.65 billion. On a constant currency basis, total revenue is expected to increase in the low double-digit range, assuming a $164 million impact from the change in foreign currency rates. We expect a mid-single digit comp store decrease on a reported basis and a low-single digit decrease in constant currency. Our revised revenue expectation reflects our tempered outlook for the second half of the year. While we believe our product and marketing efforts will benefit our business longer-term, we are taking a more prudent stance in the second half. We expect a sequential improvement in comp store sales in the third or fourth quarter to be driven by the inclusion of U.S. digital sales in the comp base, the roll-out of Kors Concierge in our stores, the launch of our new national advertising campaign, the introduction of new, innovative product offerings for holiday and spring 2016, diminished FX headwinds, and easier year-over-year comparisons. As we've stated previously, we anticipate the 53rd week to add approximately $40 million of additional sales this fiscal year. We expect international gross margin to remain under pressure in the third and fourth quarters, as favorable hedging contracts we entered into last year expire. Operating expense as a percent of total revenue is expected to increase 200 basis points to 220 basis points for the year. We expect the increase in operating expense as a percent of total revenue to continue to moderate as compared to the first half of the year as the rate of spend slows and we begin to anniversary the investments we made in 2015. We now expect diluted earnings per share to be in the range of $4.38 to $4.42 for the year, assuming a tax rate of approximately 29% and 191.5 million shares outstanding. We expect foreign currency to impact net income by approximately $36 million and EPS by approximately $0.19 for the year. I will now turn the call back to John for closing remarks.
John D. Idol - Chairman and Chief Executive Officer: Thank you, Joe. In summary, we continue to see ample opportunity for long-term growth in our business around the world, driven by our luxury fashion product, strong brand, and our powerful business model. We remain focused on maintaining our leadership position within the global luxury market, driving expansion of our direct-to-consumer business through digital flagships and retail stores, building our wholesale presence through shop-in-shop conversions, expanding internationally through our regional licenses and driving growth across our key product categories. As we look ahead, we believe that there is continued growth for Michael Kors' luxury brand, and we remain on track to achieve our long-term goals. I will now open up the call for questions.
Operator: Thank you. We'll take our first question from Kimberly Greenberger with Morgan Stanley.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thank you. Good morning. It's so nice to see some stabilization particularly in the comp number. I'm wondering if you can talk about e-commerce, John. I think you mentioned that it grew 136% in the quarter. I believe you took the platform in-house early September last year, so I would assume the growth in the quarter was distorted to July and August since you're sort of anniversarying the big pickup that you had seen in September, but maybe you could just help us out with that. And then, I'm wondering on the wholesale channel, it sounds like a very prudent move to pull back on the inventory there. I'm wondering if you can talk about the pacing of how you sort of pull the inventory back a bit in the wholesale channel and is it – are you doing it both in the North America market and Europe or is it largely concentrated in North America? Thanks.
John D. Idol - Chairman and Chief Executive Officer: Great. Thank you, Kimberly, and good morning. Kimberly, we're very pleased with what's happening with our e-commerce business since we brought it in-house. I mean, obviously the numbers are very strong in terms of the growth rates and the conversion rates as well, and what we're really seeing is the engagement of the customer. And I have to be frank with you, we're I think, at the very early stages of what we're going to be able to achieve with this platform. We're operationally, I think, in great shape. I think the site itself is quite exciting. We're going to do a lot of things over the next six months or so to improve our mobile experience. We don't think that's where it really needs to be. And secondly, what we're going to be able to do through our analytics and CRM with truly presenting our styling capabilities and Michael's messaging with the various communication vehicles that we're developing to tailor the experience for our customer. We think the opportunity is, quite frankly, very, very large for us. So I think that basically it's all systems go in terms of what we're seeing both in North America and I'll say, America and Canada, both platforms are operating at a very, very high productivity rate. And as we said in the call, we're bringing on Europe in the fall and we will actually bring up Korea and Japan not too far after that. So we will be, I think in a very, very strong position. We told you two years ago that we were going to make a very big investment in systems, people and in the distribution facilities to be able to handle all this and we're there. And we consider ourselves to be a company who will ultimately be best-in-class in this category. Secondly, on the inventory side, the pull back on inventory is predominantly in North America. The department store business in North America is suffering some of the same challenges that we've seen in terms of the traffic in shopping malls, so that's got us taking a more prudent approach to how much inventory we actually have sitting in the stores. That being said, our e-commerce business with all of our department store partners is really quite extraordinary. And I think we're all just learning, you know, how we can turn these inventories faster and supply the customer with a very strong experience, both online and in store. Again, that being said we find the environment to be a little more promotional than we would like, so that being said, we'd like to have less inventory in the stores and have less of our brand appearing on sale, in particular, in that channel of distribution. So you'll see that pull back happen kind of between now, you'll start to see a little bit it in Q3, a little in Q4, and it will more normalize itself by June or July which we think is the right thing for us to do, given the climate and what we want to do in terms of keeping the health of the brand. Kimberly, I want to mention one last thing. I made a highlight of it in the call and I think it's an important issue. We continue to outperform in our categories, whether that's accessories, footwear, or women's ready-to-wear. We're outperforming our competitors in the department store channel by a fairly significant amount. And we're quite proud of that. That is, under the whole cloud of the fact that we said that we grew the North American handbag business in the low single digits, that's at retail, both in our arm (38:17) stores and the department stores, but high double digits in terms of units. So the idea that people are not buying handbags, I do not believe is a correct concept. They happen to be the fashion trend of smaller bags, so if we were selling x percent of $350, $400 and $500 handbags at this time last year we were selling less of those because we were selling a lot more in particular across bodies and large wallets. And that is what the consumer in particular the millennial is viewing as a fashion trend. So that's that has an impact on AUR. And so, therefore we're selling a lot of Michael Kors product to people. Young people think they have bought a handbag. It's not that we're not selling handbags. In fact, we're selling a lot more handbags. So I think there is really a misnomer about what is happening in the marketplace. We believe that the handbag market in North America is again growing at the low single digits, but very, very high numbers in terms of units. So I think as you all are looking at the business, you should do some analysis on that and we can share any insights that we have with you as well. Thank you, Kimberly.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Thanks so much.
Operator: We'll take our next question from Omar Saad with Evercore ISI.
Omar Saad - Evercore ISI: Good morning. Thanks for all the information. John, I wanted to talk about the kind of moderated comp expectations for the back half from last quarter to this quarter, you know trying to understand how much of it is top down, the macro environment, the consumer environment. Or is it maybe the smaller handbag trends accelerating or other internal things that you could add there. And then I have one follow-up.
John D. Idol - Chairman and Chief Executive Officer: Okay. Sure. Omar, first off, we're kind of pleased with what's happening with the sequential performance of our comp store trends. In fact, our comp stores through October are getting better, again, from what we just reported. So we're pleased with what's happening with the trend in the marketplace. It's two things in North America. It is, without question, smaller handbags. Again, I want to really hit home on this point so you all understand. When we're selling high double-digits in terms of additional units, that means that people are buying a lot more Michael Kors product, and the same thing may be happening to some of our other competitors. That's just trend. So we're losing actual performance in the stores just because the customer thinks that they bought a handbag. So that's the first thing. And the second thing is, the moderation from our previous guidance also reflects the continuation of what we think is impacting us is the tourist traffic. Both in the department stores and in the retail channel, we have huge doors, whether it's in New York, whether it's in the Southern Florida area, all of us are now being impacted in parts of Texas because of oil prices there, that's a little bit less tourist, but some of it's related to the Mexicans shopping cross-border with the peso to the dollar. So these are things that we just don't see going away so quickly, even though we'll be lapsing the change in currency, which will happen probably to its largest effect Q4, the tail end of that. That's just something we think we're going to be a little bit more prudent about. And, again, both in retail and wholesale, we just like to have a lot less markdown inventory in the stores. We don't think that's good for the brand long-term and we can still achieve our financial targets. As you can see, our new range annually still puts us kind of, if you take the middle of that range, at the low end of our previous guidance. So we're still going to achieve our financial objectives and we're going to do it in a prudent way that's going to protect the health of the brand and be respectful of what's happening in the environment.
Omar Saad - Evercore ISI: Thanks. That's really helpful. And then you've talked about in the past kind of some new product launches and innovation and pushing the fashion envelope. Can you help us understand the timing in both the handbag and the watch category? Can you help us understand the timing of when we might expect some of that? And I think on the marketing side too, all of that to kind of flow through and maybe drive an inflection in the comp.
John D. Idol - Chairman and Chief Executive Officer: Yeah. So it's happening now, Omar, and we're seeing an inflection on a sequential improvement in the comp. As I said in the call, saddlebags are – we're probably going to run out before – even before the holiday season. Merlot, we're probably going to run out before the fashion season. We've got some great new handbag styles that have hit that are really getting some excellent traction. And the whole cross-body piece of the business, I want to tell you, we're excited about. We're less excited about the lower transaction value, but we are on trend, and all the consumer research that we're doing, our customer says we love Michael Kors, we want to buy Michael Kors, and they are actually buying more Michael Kors. They're just buying small units, a smaller average price point unit for us. So we're seeing that happen. The biggest piece of that is going to hit for the spring season where we've got 22 new handbag groups that we're introducing. Obviously, all of those won't be at retail. But you're going to see a major change in the way that the product works in the stores. And that's not just because of comp store trend. I want to be clear. That's because that's what's happening in the handbag and the fashion business. Our luxury competitors around the world are doing a great job, certain of them, in really updating product and making it exciting and compelling for the customer, and that's what the customer wants to do. When we're delivering newness, they get excited. And I want to say we're seeing that in the watch business, in a business that is clearly challenged, and the customer has voted a little bit more for the iPhone and a little less for the watch when all of a sudden when Michael was the one who really drove it and said let's go after the leather watchband business in a big way. We're getting excellent sell-throughs on that. Our new platings, Sable and Navy, excellent sell-throughs on that. So that's just saying to us, she wants, she's ready to shop, but we better be a fashion leader and on trend to inspire her, so we like what we see in the stores. And I want to leave you with this call that we're kind of excited about what we see what's happening out there right now. Thanks, Omar.
Omar Saad - Evercore ISI: Thanks, John. Nice job.
Operator: We'll take our next question from Erinn Murphy with Piper Jaffray.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Great. Thanks. Good morning. I was hoping to speak a little bit about what you're seeing in Europe. It looks like the sales overall, I know there were some pretty stiff FX headwinds to decelerate in the second quarter and maybe it was led a little bit more by wholesale. Could you just talk about what you're seeing in the wholesale channel, particularly in Europe? And then I have a follow-up. Thank you.
John D. Idol - Chairman and Chief Executive Officer: Yeah. Thanks, Erinn. Erinn, I remember about three or four years ago when the conversation of sequential deceleration came up. Our business is going to sequentially decline, whether it's North America or Europe in the quarter just because we're getting bigger. We're doing over $1 billion in Europe, which is incredibly impressive to have built that in basically six years, and we have high brand awareness, great customer loyalty. We're looking at our newest kind of developed market that we went after this year, Italy. Business is literally on fire, running strong double-digit comp growth there. So I would tell you that our business in Europe is very, very strong. There are – leave the FX headwinds out of this a second. There are a couple of factors that are impacting the business in Europe and that is, first and foremost, the Russian tourist who was a very large piece of our business has not been traveling, as you well know. The second piece is there's a Middle Eastern tourist issue that they're not traveling as much as they did, and we had a very nice business with them. So both of those individual markets, if I go in and look at our Middle Eastern market and our Russia market, are doing exceptional double-digit comp store growth in both of those markets. Because the customer is not coming into Europe, they're shopping it in those markets, so we pick some of that up through our wholesale channel. But they tend to spend a little bit more when they're traveling and a little bit less fluidly when they're in their country. And then there is some challenge in the UK and that's more of a pound to the euro situation where, again, the tourists are traveling a little less into the UK because of the strength of the pound, i.e. the U.S. dollar. So, again, we really like what we see going on in Europe and some of our department store businesses in particular, Galeries Lafayette, I mean, just fantastic. (47:27), fantastic. I can go through the areas. But we are going to, over the years – we're probably today the largest accessible luxury handbag company in Europe, and we told you we would get there about three years ago and we're probably there today. So as we have either the number one or number two position in the marketplace, we will grow, but it just won't be at the same growth rates that we've seen before. But overall, we really like the response that we're still having with the brand in the markets and especially as we enter some of these new markets, customers responding with great enthusiasm.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Great. Thank you for that. And then, I guess, just domestically, it looks like you guys are pretty close to your 400 door women's target in terms of units in the U.S. market. Can you just talk about if that's still kind of the goal longer-term, that 400 door target? And then as your men's initiative starts to ramp, how do you think about the potential, particularly in the North American market and then globally for the men's initiative? Thank you.
John D. Idol - Chairman and Chief Executive Officer: Sure. North America, yeah, we've said we'd be at 400 doors. That will actually probably change just slightly because of – I mean, North America women's (48:40). The Americas will change slightly because you'll see the South American numbers reported in our Americas numbers, so just so you know. But no, we have no intent of kind of going beyond that, and we're close to it. We'll open a few more stores, and then that rollout will be complete. And, again, as we've said to you many times, because you've all questioned us regularly, I might say, on why do you open more stores. Well, we're profitable when we open more stores. And people, while online shopping is absolutely a trend and it's going to move the needle for the company, people will still go out and shop in a store. That won't, at least while I'm alive, won't have evaporated. So we'll be in the right cities, in the right locations, and feel good about that. And then in terms of men's, I would say to you that we're going to open these six or seven stores in North America. We've got about three/four on the docket in Europe and then a handful in Asia, and then we've got about 75 shop-in-shops going in, in North America, and I don't remember the exact number in Europe. I would say we'll get these all in place, and then we'll kind of hold a little bit just to make sure we understand what the performances are, productivities, how we're going to go about doing this. We're really excited. I can't wait to show you guys the new fall line that's coming with Marcel Ostwald joining us, and as you know, he headed sportswear design for Hugo Boss. So we're really excited about what's coming product wise. We've got a whole new marketing campaign that Michael has developed that will include some significant television advertising for men's because, men's, it's not a traditional magazine driven communication market. So what we're going to do digitally and on TV with men's I think you'll be quite impressed with. So we're deadly serious about the men's business. You've heard me say before it's a $1 billion opportunity. Of that $1 billion, we think $300 million of it is in leather goods, and if you go down to Macy's Herald Square, you can see our leather goods shop there. You're going to see quite a few more opening as we move forward. So this is an area of business. It's going to take us a couple of years to grow it, but once it gets going, this will be a very nice additional growth vehicle for the company. Thank you, Erinn.
Operator: And we'll take our next question from Simeon Siegel with Nomura Securities.
Simeon A. Siegel - Nomura Securities International, Inc.: Thanks. Good morning, guys. John, given your comment about AUR declines as a function of mix, I guess, how were the like-for-like AURs? And then just given the commentary on the units versus the price, can you just quantify any of the composition or give any color around the composition of that North America or consolidated comp at all? And then just to quickly follow up, given the discussions around margin concerns, you've actually had some relative stability I'd say around that wholesale, seems to be holding in better. Can you talk about the comfort you have around that number? Thanks.
John D. Idol - Chairman and Chief Executive Officer: Yeah. Let me start with the AUR side. The AUR in the quarter in our North American retail business was down approximately 15%. So that is driven, I would say, about 60% of that is driven by smaller handbags and I'd say the balance of that is driven by additional promotional activity inside the stores. We see that starting to stabilize, in particular, in the third and fourth quarter because, remember, we're lapping some of this stuff starting to happen. The world got a little more promotional last holiday season, got really promotional into Q1, or whatever; our Q4, calendar Q1. And then the small handbag thing started around that time. So we see in our retail business, in North America in particular, we think margins are going to start to stabilize in Q3 and Q4. You've seen kind of a sequential 1% to 2% decline in gross margins in the retail business and we think that's going to stabilize for us. We feel pretty good about that. And we think this AUR situation, we'll be lapping it as well. The other thing I might add that also impacted – again, I don't want to sound defensive, but a lot of people are writing about our comp store decline, and it's all about the handbags. The watches are having an enormous impact on our comp store decline. So, our handbag business is relatively healthy, and I think the industry is relatively healthy. It's not growing at the high-single digit rate it used to. But when you look at the amount of bags that are being purchased, the interest by the customer, we feel good about all that. We'll start to lap the comp store decline in watches also coming soon. And remember, our average watch sale was between $200 and $225, so that actually impacts our average transaction inside of our stores. So once we start to lap some of that, again, we feel pretty good about that situation as well. And your second question was – or was that it?
Simeon A. Siegel - Nomura Securities International, Inc.: That was it.
John D. Idol - Chairman and Chief Executive Officer: Okay.
Operator: We'll take our next question from Joan Payson with Barclays.
Joan Payson - Barclays Capital, Inc.: Hey. Good morning. Could you talk a little bit about in terms of the domestic comp trends, what you've seen in terms of the outlets versus the full-price stores? And then just turning to China, John, I know you had a few comments about the rising brand awareness there, but could you provide any update on the revenue sizing of that business as well as thoughts on timing for taking it in-house?
John D. Idol - Chairman and Chief Executive Officer: Sure. We don't break out the full price in the outlet, Joan, as you know. But I will tell you that the traffic in outlets has also seen a sequential decline, although modest. It's been very, very small. So the larger decline in traffic is in full price shopping malls, and the smaller piece of it is in outlets. And what's interesting now is the kind of the traffic decline and the comps are starting to marry up a little bit. At one point the traffic decline was higher than the comp decline and the comp decline got higher than traffic decline, and that was driven by AUR. Now, as I said to you, that's why you're hearing me feel positive. It's kind of evening out, our conversion rates are up, which – they're up significantly, by the way, and I have to take my hat off; I want to compliment our 7,000 employees out selling around the world. These people are doing a great job. And that's one of our, I think, incredible strengths. You may remember from the IPO, our jet set training, the way that we really work with our teams and we've announced the Kors Concierge, which will be piloted starting really this week, is going to be an incredible tool for these people to really act as not only a brand ambassador but really to be a styling consultant. And, again, we'll show this to you guys because I think you'll be quite impressed with what the technology gives our sales associates from not only a product point of view both also information about who the customer is, what they bought previously, etcetera all at their fingertips. And I think that is going to help us with comps because traffic is going to continue to decline. We know that, although I think moderate at a certain point. And if we can continue to keep our transaction and conversion levels up, which we've been able to do, or get our transaction level stabilized and get our conversion rates up which we've been able to do that, I think that's where you're going to see the comps turn for us, and so, again, we feel pretty excited about that along with the launch of the new product. Asia, in general, is doing great for us. So I'll just make that as an overall statement. You saw the comps in Japan. We reported that we have strong double-digit comps in China, and then in Southeast Asia, pretty much similar strong double-digit comps, one or two markets are high single digit comps. So the whole region for us is fantastic and what's interesting is in China, Hong Kong and Macau are not exactly flourishing as we speak, but when we look at our China comps, we are running strong double-digit comps even with Macau and Hong Kong suffering from lower tourist traffic. As it relates to the repurchase, we've always said we'll look at it when the business reaches scale on a profitability level that would be accretive to the company. I will tell you that the business is obviously growing very rapidly. We report in the Q the size every quarter of the business because we report the royalties earned and the wholesale that we ship, so you can see the growth of the business. We're going to be a significant player in China and really excited about the new Huamao 9,000-square foot store that we're opening, and Michael will be there in November. And the events that we're putting on, the team that we have on the ground, it just further gives us great confidence that this region potentially over the next few years will probably be larger even than Europe for us. Thanks, Joan.
Operator: And we'll take our final question from Dana Telsey with Telsey Advisory Group.
Dana L. Telsey - Telsey Advisory Group LLC: Good morning, everyone. Can you talk a little about when you commented on the gross margin, how do you see the buckets underneath the gross margin, whether it's markdowns in department stores, what's happening in retail, and the complexion with the overall smaller handbags that's going on with the lower AUR? How do you see that for the holiday quarter and go forward in each of the channels? Thank you.
John D. Idol - Chairman and Chief Executive Officer: Well, Dana, I don't think we would talk about it by quarter. I'd rather just talk about it as a trend. But I would say to you that the gross margin in retail we believe is going to stabilize. I said that to you that – we're feeling pretty good about that. We think we've got a pretty clear picture on that. We are going to take some price increases on some of our small leather goods because we've been actually slightly underpriced compared to some of our other luxury competitors and also on some of our cross bodies, so we think that will get us some margin improvement there. And as I said, we're kind of lapsing the promotional environment. So I'd say that that's going to remain in a pretty good place. And we'll probably have a little sequential decline in wholesale gross margin, and that's a result of higher allowances to department stores. But, again, we think that will be not highly significant as we look out and especially as we begin to pull back some of the inventories. And that's really more of a North American thing. We don't see that as a European or we have a very sizable business in Asia now growing to our license partners and through the duty-free operating channels as well.
John D. Idol - Chairman and Chief Executive Officer: So, I'd like to thank everyone for joining us on the call today. I think you can sense a lot of enthusiasm from us here at Michael Kors, and that's based around, I want to first start with the incredible product that Michael and the design teams have been putting forth. And what we're feeling good about is the fact that that product is resonating, we're both delivering great new fashion innovation and we're delivering trend. So those are two things that are important to being successful, and Michael and our design teams have done that. Secondly, we're really excited about our execution of what's happening in the digital world for us, and I also want to layer on to that what's going to come with Kors Concierge and give our already 7,000 amazing employees around the world who are selling every day of the week to our fashion customers an outstanding tool to help deliver a better jet set experience. And third, I want to say that we believe that we'll be lapping some of the headwinds that we've seen over the past 12 months, and that, therefore, we will have slightly easier comparisons and additionally, we think we'll have a little bit more of a platform to begin to launch off of. So with those things resonating in front of us, and the growth of our international business, Michael Kors is going to be an exciting company to watch, and we're looking forward to reporting to you in the next quarter and delivering another outstanding set of results. Thank you very much.
Operator: And this does conclude today's conference call. Thank you all for your participation. You may now disconnect.